Operator: Good afternoon and welcome to the PennantPark Investment Corporation's Second Fiscal Quarter 2021 Earnings Conference Call. Today's conference is being recorded.   It is now my pleasure to turn the call over to Mr. Art Penn, Chairman and Chief Executive Officer of PennantPark Investment Corporation. Mr. Penn, you may begin your conference.
Art Penn: Good morning, everyone. I would like to welcome you to PennantPark Investment Corporation's second fiscal quarter 2021 earnings conference call. I am joined today by Aviv Efrat, our Chief Financial Officer. Aviv, please start off by disclosing some general conference call information and include a discussion of our forward-looking statements.
Aviv Efrat: Thank you, Art. I would like to remind everyone that today's call is being recorded. Please note that this call is the property of PennantPark Investment Corporation and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using telephone numbers and PIN provided in our earnings press release as well as on our website. I would also like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking information. Today's conference call may also include forward-looking statements and projections and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at pennantpark.com or call us at 212-905-1000. At this time, I would like to turn the call back to our Chairman and Chief Executive Officer, Art Penn.
Art Penn: Thank you, Aviv. I am going to spend a few minutes discussing how we fared in the quarter ended March 31, how the portfolio is positioned for the upcoming quarters, our capital structure and liquidity, the financials, and then open it up for Q&A. We are pleased with our performance this past quarter, we achieved a 5.8% increase in adjusted NAV. Adjusted NAV went up $0.51 per share from $8.69 to $9.20 per share. We are particularly pleased that our NAV today is up over 5% from what it was pre COVID December 31, 2019. We have several portfolio companies in which our equity investments have materially appreciated in value as they're benefiting from the recovery. This is solidifying and bolstering our NAV, and we will highlight these companies in a few minutes. As part of our business model, alongside the debt investments we make we selectively choose to co invest in the equity side by side with a financial sponsor.  Our returns on these equity investments have been excellent over time. Overall for our platform from inception through March, 31, our $226 million of equity investments have generated an IRR of 28% and a multiple on invested capital of 2.9 times. In a world where investors may want to understand differentiation among middle market lenders, our long term returns on our equity investment program are a clear differentiator. With regard to income generation, we have the opportunity to rotate out of our out of our equity investments over time and into yield instruments. In addition, we have the ability to grow the P&L balance sheet, and that of our PSLF JV with Pantheon, which should also generate additional income for the company. 
Aviv Efrat: Thank you, Art. For the quarter ended March 31 Net investment income totaled $0.13 per share. Looking at some of the expense categories, base fees totaled $4.3 million taxes, general and administrative expenses totaled $1.3 million and interest expense total $5 million. Net unrealized gain on our investments was $33 million or $0.50 per share. Net unrealized depreciation on our core facilities was $0.06 per share. Net realized gains on investments were $0.01 per share. Our Net investment income exceeded our dividend by $0.01 per share.  Consequently, NAV per share went from $8.78 to $9.24 per share. Adjusted NAV, excluding their mark to market of our liabilities was $9.20 per share up 5.8% from a $8.69 per share. As a reminder, our entire portfolio quite a facility and senior notes our mark to market by our board of directors each quarter using the exit price provided by independent valuation firms, security and exchanges or independent broker dealer quotes when active markets are available under ASC 820 and 825.  In cases where broker dealer quotes are inactive, we use independent valuation firms do value the investments. Our spillover is on September 30 was $0.33 per share. Our GAAP debt to equity ratio, net of cash was 0.9 times. Regulatory debt to equity ratio net of cash which excludes FDIC that was 0.7 times. With regards to NAV, our GAAP NAV was $9.24 as of March 31, up approximately 5% from the prior quarter, which reflects both the markup of assets offset by the markup of certain liabilities. 
Art Penn : Thanks, Aviv. To conclude we want to reiterate our mission. Our goal to generate attractive risk adjusted returns through income coupled with long term preservation of capital. Everything we do is aligned to that goal. We try to find less risky middle market companies that have high free cash flow conversion, we capture that free cash flow primarily in debt instruments, we pay out those contractual cash flows in the form of dividends to our shareholders.  In closing, I'd like to thank our extremely talented team of professionals for their commitment, and dedication. Thank you all for your time today and for your continued investment and confidence in us. That concludes our remarks. At this time, I would like to open up the call to questions.
Operator:  And we'll take our first question from Casey Alexander with Compass Point. 
Casey Alexander: Hi, good afternoon. I want to first wanted to just make sure that I heard that correctly of the 36%. That's equity. Only 3% of that is represented by the JV and the other 33% is straight equity. Is that the right number?
Art Penn : Just take a look here. Maybe you may have it right in front of you. 
Aviv Efrat : Yes, that that is the right number. About 3.4% is a PSLF. That is correct.
Casey Alexander: Okay, so is there I mean PSLF at 3% of the entire portfolio, is there room to grow that, you know, many BDC have JV that are twice that size in terms of their relative position in the portfolio? And could and is there any room to increase the dividends that come from the JV?
Art Penn : Yes, it's a good question. And we just to refer to the equity, we also have subordinated debt in PSLF too. So, I'm going to say you know, our sub debt piece is roughly twice as big as our equity piece. So call it Aviv 9%.
Aviv Efrat : Oh, yes. 6% or so. 
Art Penn : Yes. So 9% in total, but yes, I mean, our goal is to, you know, fully extend the existing JV and we have a little bit of room to go there. And then you know, subject to pantheons approval of course, in partnership, we be totally open to expanding that JV optimizing it if you look at what's going on over PFLT. Our sister company with camper. We've grown that JV, we're growing more, we've optimized the financing by doing a CLO transaction to get a higher ROI. So, you know, we're not there quite yet, you know, pantheons, newer to the business. But that would be an aspirational goal, at least from PennantPark standpoint is to grow it and optimize it.
Casey Alexander: Okay. And then secondly, if you could just give us a flavor for how the outlook looks for originations over the next quarter to how your pipeline looks, how you would compare that pipeline to what your expected repayments are, and, you know, potential ability to grow the interest earning side of the portfolio?
Art Penn : We're busy. Now busy is good. And also busy also sometimes means repayments. So, you know, it's an active market, again, the market has fallen out, and it's kind of very, very active. Now, we are getting some repayments, and we're also putting new money out. We've never had a real challenge, ramping our portfolio, subject to our quality control constraints, we obviously only want to do deals that were very comfortable. So if you look at our history over 14 years, we've never had a problem originating assets that fit our box. You know, the deals because they are more bespoke, they take time. You know, they take a couple months to work and you're negotiating covenants and things like that. It's not like you're flipping a switch. But that said, we are active, we do hope and expect to grow both the JV PSLF as well as a P&L on balance sheet. And importantly, and we're starting to see the green shoots with Wheel Pros and Walker Edison, taking those equity proceeds and converting them to yield is obviously a key part of the strategy. And we're looking forward to doing that. 
Casey Alexander: All right, great. I appreciate you taking my questions. 
Operator: Our second question will come from Robert Dodd with Raymond James.
Robert Dodd: I got some semi housekeeping websites. On Walker Edison you mentioned that $3.8 million cash payment, what should we expect, say half of that to be recognized as dividends and maybe the other half to be returned to capital and take your cost basis down to zero or with the whole thing, the dividend?
Art Penn: It'll be based on what we could tell it'll be the first obviously the first part of its return on capital. And the second part of it looks like it's can be counted as a capital gain. Capital Gains will not be in good. It'll be a capital gain.
Robert Dodd: Then just on the debt side, I mean, obviously, the liability stack looks in good shape, would you? Is it currently anticipated that you'd call the $86 million when that becomes callable in October? Or are you going to let that stay?
Art Penn : The 86 million from?
Robert Dodd: The baby bond.
Art Penn : The baby bonds. Okay, that's a good question. I think we'll have to see what our cost of capital is then and, and do the math and the fees. You know, obviously, we just did a deal that was much less expensive. So yes, haven't made any any pre decisions, but that is certainly an opportunity.
Robert Dodd: Okay, great. Thank you. Then lastly, I mean, the long term goal, to get equity, obviously, non equity down to 10%. What's a realistic timeframe to achieve that goal? I mean, there's that three years out, is it going to take longer than and it's certainly not going to happen in 12 months? So I mean, three, five, shorter, maybe?
Art Penn : You're right. It's a great, it's an imponderable question, right. It's kind of guessing. Certainly not a year and, and hopefully not three years. You know, you're right. I mean, I don't know if that's a tight enough band for you. Some of these we control some of these we don't control we control RAM, to some extent, but we don't control where the oil and guess M&Amarket is, when the oil and gas M&Amarket starts to heat up. We will meet in a hopefully more action RAM, we do control PT, pivot. And that that, you know, is more in our control in that market strong. So that may be you know, sooner rather than later, does that mean 12 months or 18 months, it's kind of something in that zone. We don't control Cano. We don't control Walker Edison, etcetera. So, you know Cano going through the dispatch process, hopefully in the next month or six weeks. We said well control it after it does the  back but at least it's more and more on its way to a liquidity event. That'll be a big milestone. So yes, a year to three, year to three years just as a general you know, if you really want to say let's run the table, get it down to 10%. I think that's probably right.
Robert Dodd: So, thank you. So those were my question. and I really appreciate all the detail on the portfolio companies of that target market. So thank you for that.
Operator: Our next question will come from Ryan Lynch with KBW.
Ryan Lynch: A Good afternoon, guys. Thanks for taking my questions. First off, congrats on a really nice quarter. I just have one today. Can you talk about, has there been any so obviously, you guys historically making equity co investments has been a very successful part of your success story to generate some nice naps through this COVID downturn has been a part of your, your long term investment thesis of making some of these investments to offset some of the losses in your credit book and hopefully, generate some gains longer term. I'm just wondering now with such a large equity exposure and your desire to reduce that that position in your portfolio somewhat? Does that change the way you guys are working? When you guys are looking at new investments? Is that making you more hesitant to make equity call events? Is that adding more equity to your books? Or is that just as you know, keeping that investment philosophy unchanged as it's worked so well, for you in the past?
Art Penn : It's a good question. Most of these equity call investments are $1 million to $3 million bite, every once in a while, you know, we'll do one that's a $4 million bite. So individually, they're not that big. And usually they're maybe 5%, or maybe 10% of the amount of debt that we're lending. So as individual bytes, they're relatively small, they can have a nice asymmetric upside when they work, like some of the names we've talked about. So I think we're going to continue to do that. As long as we continue to make progress on exits, like Wheel Pro and like Walker Edison it's kind of just like a reloading, you know, we're reloading the next Walker Edison, we're reloading the next Wheel Pro. We're reloading the next Cano. So, kind of Wheel Pro was a seven to one count has been whatever it's been ‘21, or whatever it is. So I think it's important that we reload, actually, as we're exiting these bigger positions that have grown.
Ryan Lynch: Okay, that's it. That makes sense. That's all for me today. I appreciate time.
Operator: We'll take our next question from Mickey Schlein with Ladenburg.
Mickey Schlein: Yes, good morning Art and Aviv. Art I want to follow up on Ryan's question about portfolio strategy, given how strong the economy is, and how much support the federal government is providing to the economy. Are you more interested in investing in second lien and subordinated debt in this environment? You know, considering that administration for a while, and I imagine we can expect more support if needed? And if so, are the terms that you can get in those markets accepted to you on a risk adjusted basis?
Art Penn : Yes. So yes, great question Mickey. And we think about a lot of PNNT, utilizes and across the capital structure strategy, so what's our cross the capital structure strategy, it's exactly what it means. It means first lien some select second lien and mezzanine and equity column. So we have done been doing a little second lien and as we will continue to do some of it, the bar is high. You know, the economy and the tailwinds of the economy do are helpful fact. And where we can see quick the leveraging and de risking whether it be firstly and secondly, that certainly helps us get comfortable with the debt security and also making that equity co investment. So Wheel Pro was a secondary deal. You know, that wasn't that was a secondary deal. We did you know, a handful years ago we did a healthy co invest. And that's worked out. Well Walker Edison, on the other hand, was kind of a first lien where we stretch senior Cano was a first lien so it's been a mixture.  So but the point is, yes, we're open for business on the second lien mess side. I'm not saying it's a massive part of what we're doing because it's something where we've learned the hard way you need to be really, really careful. But the risk adjusted returns when you find the right ones like Wheel Pro where you can see a quick de leveraging and de risking can be very, very profitable. So we will continue to be part of the mix. 
Mickey Schlein: I appreciate that. And thanks for that Art. You mentioned RAM a little bit in your comments, and I don't want to beat a dead horse. But, you know, the price of oil has remained in that sort of $60 plus level, which I think in the past, you've mentioned is where you expected M&Ain the oil patch to start to develop. Are you seeing any green shoots at all? Visa V, you know, that segment and outlook for RAM eventually be acquired by strategic buyer. 
Art Penn : Yes, so a couple responses make the first in $60, the company's generating good cash flow and paying off debt, that's always helpful creates equity, if you create equity value when you pay off debt, and that's, that's certainly what's going on here. So that's nice. With regard to M&A, you look, we seen green shoots or green shoots. I think we're seeing the more green shoot as opposed to green shoots area, but inevitably and hopefully, as the market continues to be stable, you know, we'll see more shoots and therefore more M&A activity will come in, at some point, there'll be a robust market, hopefully, for RAM. In the meantime, hunker down, generating cash flow, paying off debt, the acreage of the RAM has now been proven out very nicely, it's often a matter of public information, it's on the RAM website.  So anybody who's looking for acreage, in productive acreage, in that Austin chalk area can see the numbers and they're very attractive, some of the best wells in that area. So, we're doing everything we can, we can't control that environment, the ministry loan, we got really extends that option out nicely. Again, we want to sell and find the right buyer at the right price at the right time. But we do have a long tail option at this point, in the last 12 months have done a really good job extending that option. That said, I do also want to say that and I highlighted this with the lowest percentage of oil and guess in our portfolio in the last eight years. And we hope RAM does well. And we hope it we can get great value for RAM over time. But in the meantime, you know, we have some companies in industries that are kind of more of our forte, where we have domain expertise and healthcare and consumer and etcetera, where we see real secular growth and real nice tailwind.  So, whether RAM a year from now is out of our portfolio, still 6.7% of our portfolio, or a smaller percentage of our portfolio because the portfolio has grown and some of these other companies are growing, you know, time will tell, but we feel like we've got, we've got to manage as best we can at this point. 
Mickey Schlein: As a follow up, given the uncertainty as to timing of a potential exit on RAM? Is there any room in their financials given the cash flow profile for them to eventually pay you a dividend? 
Art Penn : As part of this good question, and we have thought about that you might imagine as part of the loan with the Fed Main Street program, which is a great loan, we are prohibited from paying dividends. So at this point, so you know, look, let's see what happens. Let's see, the company's results. Certainly, when we pay down debt, we by definition, increase equity value, and let's keep that option alive. And at this point, we think keeping the option alive as long as possible is probably the best thing to do of any option we have here. 
Mickey Schlein: Understand, just a couple of housekeeping questions maybe for a Aviv. I apologize, but we're just swamped with earnings. Could you give me the main drivers of the unrealized gains this quarter and also the on distributed taxable income per share figure?
Aviv Efrat: If you want to go through the main drivers I know it's certainly the same names that Art has I mentioned before PT like positive $0.09 unrealized gain quarter over quarter, RAM energy, we just discussed about positive seven  about positive $0.12 quarter over quarter. A bunch of wields pro positive, the larger movers quarter-to-quarter.
Mickey Schlein: And UTI per share? 
Art Penn : I think we said it was $0.30.
Mickey Schlein: $0.30. Okay. Sorry for that. I appreciate you taking my questions Art. That's it for me this morning. 
Operator: We'll take our next question from Kyle Joseph with Jeffrey's.
Kyle Joseph: A good morning here, afternoon there. Thanks for taking my questions. Most of them asked and answered, but just wanted to follow up for kind of your sense of where you're thinking about portfolio yields, as we think about the market recovering rotation of equity assets, and then, the potential for higher repayments give us a sense for how you see yields trending throughout the remainder of the year?
Art Penn : Yes, that's a great question probably kind of relates to the earlier question about  second lien, right. So prototypical first lien deals today are L525 to L650 prototypical second lien  or L800 to L900. All of these, I'm assuming are 1% floor. So it's really a mixed question and how much secondly measures that we're going to see that we like, where stringent standards fit, I think last quarter, our yields on our new loans were a little higher, because we had a little slightly higher mix of secondary or mez. This quarter, we didn't have quite as much, you know. So that's kind of where we see the market today. It's still probably going to be mostly first lien probably still going to be most of what we're doing in terms of new but we will opportunistically and when the credits meet our threshold, do some secondly to mez.
Kyle Joseph: Got it, very helpful, Thanks for answering my question.
Operator: We'll take our next question from Melissa Waddell with JP Morgan. 
Melissa Waddell: Morning, guys, thanks for taking my questions. And really appreciate all the detail on the equity positions, particularly around timing and the ones that you control versus the ones that you don't. Specifically, I just want to make sure I heard you guys right. On keynote that's the only one I heard you guys talk about a lock up on in terms of Wheel Pros and Walker Edison. Those are things that are to queue events with that will be completed and done. No walk up that right.
Art Penn : Yes, so we'll probably we'll be out of entirely, you know, here in the next couple of weeks. Walker Edison, we've got two times our cost back already. And we still own the same percentage of the company that we owned prior. So with Walker Edison have an event in the next year or two. We hope so we think so again, we're not in control of that, but company's doing amazingly well on by a sponsor. So gravity should take hold and at some point, the sponsor should find a full exit. Cano is getting merged in with a spec. So that's the one where you can look at a publicly traded stock price every day, it's Jaws acquisition JWS is the ticker. And, we are in a limited partnership controlled by a sponsor, that will end up owning a bunch of Jaw stock after the D spec. So that's when you can look at every day. And the independent valuation firm took a 6% illiquidity discount from the publicly traded price.  And then also, because we're locked up with a sponsor, there's a 20% exit, the sponsor getting 20% of the exit proceeds. So that kind of works, its way down with the 6% discount with the 20% exit payment to the sponsor to the value you see. At 331 in the value you could ascertain today, if you want to it's a little bit less than what it was 331. So, and then once that these back happens, there's a six month lockup now, because the sponsor, LPs, including us will own a majority of the company. It's not like you wave a magic one and you're totally liquid, you know, in six months in one day, it's something that like any sponsor deal that goes public, it's something that needs to happen over time, the liquidity events, it's got to be done judiciously. Certainly the company itself, you know, will probably want to raise equity for growth. So it's kind of you probably think about it over a couple year time period.
Melissa Waddell: Alright, that's really helpful. Thanks so much. 
Operator: And our final question today will be a follow up from Casey Alexander with Compass Point. 
Casey Alexander : Yes, one of the things we always tried to track is industry concentration risk and looking at the portfolio. And looking at the 10-Q, I see 23% in health care, education and child care. Normally, that would be a number that would bother me, but I think that's such a broad category is probably capturing a lot of companies that that really aren't very comparable to each other. Does it make any sense to cut that into a couple of different baskets to better define it for investors.
Art Penn : It's a great idea. You know, it is we do quite a bit in healthcare and healthcare itself has a number of different verticals. They're not all correlated. We've had the benefit of the Cano mark up. And yes, we do some education deals as well. So that are not correlated to healthcare. So I think it's a good suggestion. And maybe we'll start doing that or figure out some way to disclose that in a more granular basis. Good idea. 
Casey Alexander : Okay. All right. Great. Thanks for taking my question.
Operator: And that will conclude today's question and answer session. I will now turn the call over to Mr. Art Penn for additional closing remarks.
Art Penn: Just want to thank everybody for being on the call today. I know it's a busy time in the BDC space. So thank you for your attention and focus. We appreciate it. And we look forward to talking to you next in early August after next quarter. Thank you so much.
Operator: That will conclude today's conference. Thank you for your participation. You may now disconnect.